Operator: Ladies and gentlemen, thank you for standing by and welcome to the Second First Half and Fiscal Year ended 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator instructions] I would now like to hand conference over to your speaker for today, David Rudnick. Go ahead please.
David Rudnick: Thank you, Karla. Good morning, ladies and gentlemen, and good evening to those of you who are joining us from China. Welcome to China Ceramics second half and fiscal year-end 2019 earnings conference call. With us today are China Ceramics' Chief Executive Officer, Ms. Meishuang Huang; and Chief Financial Officer, Mr. Edmund Hen. Before I turn the call over to Ms. Huang, I would like to address forward-looking statements that may be discussed on the call. Forward-looking statements involve risks and uncertainties and include, among others, those regarding revenue, operating expenses, other income and expense, taxes, and future business outlook. Actual future performance, outcomes and results may differ materially from those expressed in forward-looking statements. The Company claims the Safe Harbor protections for such forward-looking statements as contemplated under the Private Securities Litigation Reform Act of 1995. Please refer to the documents filed by the Company with the SEC, specifically the most recent reports on Forms 20-F and 6-K which identify important risk factors that could cause actual results to differ from those contained in the forward-looking statements. We assume no obligation to update any forward-looking statements or information, which speak as of their respective dates. And now, it's my pleasure to turn the call over to China Ceramics' CEO Ms. Meishuang Huang; and China Ceramics' CFO, Mr. Edmund Hen. Sarah Bai will be translating for Ms. Huang. Ms. Huang, you may proceed.
Meishuang Huang: Thank you, David. On behalf of the Company, I would like to welcome everyone to our second half and fiscal year-end 2019 earnings conference call. During the second half of 2019, we continue to experience challenging market conditions as we did in the same period of 2018. However, as a result of this of a 15% average price decrease of our products in October 2019, our revenue increased modestly in the second half of 2019 due to a robust increase in our sales volume. For fiscal year 2019, we utilize production facilities capable of producing 12.4 million square meters of ceramic tiles per year out of our effective total annual production capacity of 51.6 million square meters of ceramic tile. Consistent with our practices in past quarters, we maintained a reduced utilization of existing plant capacity based on the current market environment to keep our operating costs low. We intend to bring additional capacity online as the business environment improves. In December 2019, a novel strain of coronavirus was reported in Wuhan, China, which the World Health Organization has declared a global pandemic. The pandemic disrupted supply chains and affected production and sales across a range of industries in China as a result of quarantines, facility closures, travel and logistics restrictions, and related public health orders. Consequently, we have experienced a significant adverse effect on our business from the pandemic in the first four months of 2020. Although, our manufacturing plants are now fully operational, our production was halted due to the pandemic for most of the month of February. The disruption of normal business activity has resulted in a reduced demand for our products as evidenced by a high number of purchase order cancellations, which have resulted in reduced sales. However, in the long-term, we believe that our building materials sector will continue to benefit from growth in the real estate sector due to continued urbanization and it's important to try this domestic growth. Further, we believe that local governments will take measures to stimulate property sales and pent up consumer demand for residential properties due to the coronavirus will ultimately benefit our building material sector. With that, I would like to turn over the call to the Company's Chief Financial Officer, Mr Edmund Hen, who will discuss the Company's second half of 2019 earnings results in more detail. Thank you.
Edmund Hen: Thank you, Ms. Huang. I will now move on to a more detailed discussion of financial results for the six months and ending December 31, 2019. Our revenue for the six months and December 31, 2019 was RMB150.2 million or USD21.4 million, a 5.3% increase from RMB142.6 million or USD20.8 million for the same period of 2018. The year-over-year increase in revenue was due to 25.5% increase in our sales volume to 6.3 million square meters of ceramic tiles for the second six months of 2019 compared to 5 million square meters of ceramic tiles for the same period of 2018, offset by the 16% decrease in average selling price to RMB24 or $3.41 for the second six months of 2019 from RMB28.6 or $4.05 for the same period of 2018. Gross profit for the six months ended December 31, 2019 was RMB66 million or $9.4 million converted to a gross loss of RMB46 million or $6.7 million for the same period of 2018. The gross profit margin was 44% as compared to 32.3% gross loss margin for the same period of 2018. Other income for the six month ended December 31, 2019 was RMB7.5 million or $1.1 million. The same totals as for the same period of 2018. Other income primarily consists of rental income. The Company received by leasing out one of the production lines from its Hengdali facility pursuant to an eight-year lease contract. Selling and distribution expenses for the six months ended December 31, 2019 were RMB5.6 million or $9.8 million, a slight increase RMB5.3 million or $9.8 million for the same period of 2018. Administrative expenses for the six months ended December 31, 2019 were RMB9.2 million or $1.3 million as compared to RMB7.5 million or $1.1 million for the same period of 2018. The increase in administrative expenses was primarily due to increased start-up and related expenses from our newly incorporated entities. Bad debt expenses for the six months ended December 31, 2019 entailed a reversal of bad debt of RMB125.2 million or $17.8 million, as compared to bad debt expense of RMB210.1 million or $30.6 million for the same period of 2018. We recognized a loss allowance for an expected credit loss in financial assets, primarily on our trade receivables, which are subject to impairment under international financial reporting standards. We feel like we have undertaken appropriation measures to reserve a bad debt expense going forward. We will continue to reveal credit worthiness of each of our customers and continuously test our trade receivables balance in each upcoming fiscal period. Net profit for the six month ended December 31, 2019 was RMB183.7 million or $26.1 million as compared to a net loss of RMB246.8 million or $50.6 million for the same period of 2018. The increase in net income was mainly due to the increase in gross profit and the reversal of bad debt expense. Profits per basic share and fully diluted share for the six months ended December 31, 2019 were RMB30.67 or $4.36 as compared to loss for basic and fully diluted share of RMB75.95 or $11.07 for the same period of 2018. Adjusted EBITDA was RMB8 million or $1.1 million for the six months ended December 31, 2019, adjusted for noncash deductions as compare to adjusted EBITDA of RMB10.2 million for the same period of 2018. Turning to our balance sheet, as of December 31, 2019, we had the cash and bank balances of RMB8.2 million or $1.2 million, as compared with RMB9 million or $1.3 million as of December 31, 2018. As of December 31, 2019, our inventory term was 217 days as compared to 117 days as of December 31, 2018. There increase in inventory turnover days was primarily due to the 27% decrease in our sales volume for fiscal year 2019, as compared to fiscal year 2018, and the reversal of an inventory impairment provision in fiscal 2019. Our trade receivables turnover, net of value added tax as of December 31, 2019 was 194 days compared with 233 days as of December 31, 2018. The decrease in trade receivables turnovers was primarily due to the improved collection of our trade receivables. Our payables turnover, net of value added tax was 30 days as of December 31, 2019 compared with 26 days as of December 31, 2018. The average turnover days was within the normal credit period of one to four months grounded by suppliers. In terms of our plants utilization and CapEx, we utilize plants capacity capable of producing 6.4 million square meters of ceramic tiles for the six months ended December 31, 2019. And the 12.4 million square meters of ceramic tile for fiscal 2019, out of a total annual production capacity of 51.6 million square meters. Our Hengda facility has an annual production capacity of 22.8 million square meters. Also metals, as the results of two old furnaces having been put out of use at the facility, the Company utilized production capacity. That's our Hengda facility capable of producing 2.9 million square meters of ceramic tiles for the six month and December 31, 2019. Our Hengda facility has an annual production capacity of 28.8 million square meters, which excludes our leasing out 10 million square meters of production capacity to a third party. We used and reduced -- utilized our production capacity at our Hengda facility capable of producing 3.5 million square meters of ceramic house for six months and December 31, 2019. We revealed that the level of capital expenditures throughout the year and make adjustments subject to market conditions. Although business condition are subject to change, we anticipate modest level of capital expenditures for 2020 other than those associated with minimal upgrades, small repairs and the maintenance of the equipment. Moving on to our business outlook. In an effort to bolster sales, in October, 2019, we decreased the pricing of our ceramic tiles product by an average of 15%. As a result, our sales volume increased by 26% in the second half of 2019, which resulting in the 5.3% increase in sales for the six months and December 31 of 2019 on a year-over-year basis. We viewed this as encouraging as it signaled slightly improving market conditions for the six-month period since a decrease in our product pricing affected the demand for such products. Conversely, in July of 2018 we decreased the pricing of our ceramic tile products by an average of 10% but our sales volume declined which evidenced deteriorating market conditions. In order to supplement and expand our current market reach, in 2019, we announced plans to enter the ceramic tile market in Southeast Asia to capitalize upon the increased level of the region's new building construction while its climate conditions make it an ideal fit for many of our ceramic tile products. Although, this effort was temporarily halted due to the coronavirus pandemic, we have redeployed this strategy with the goal to diversify our business by generating revenue outside of China. A key element of this diversification strategy is to bolster our R&D efforts in order to expand our market. Last year, we developed a new type of ceramic tile designed to cool temperatures of buildings which, once fully tested and certified as planned for this summer, will target the Southeast Asia market. We are also focused upon diversifying our operational capabilities to fuel our growth. We formed a new subsidiary, Chengdu Future Talented Management and Consulting Co, Ltd., which provides computer server consulting that includes on-site training and online problem-solving to maintain computer systems and internet connectivity, engage in troubleshooting and repair as needed, and to provide overall technical support. Although, we expect this subsidiary to contribute only a modest amount of revenue in 2020, we believe that this venture represents a substantial growth sector, which could lead to additional high technology growth opportunities. Because of the significant uncertainties surrounding the COVID-19 pandemic, the related financial impact on the year 2020 cannot be reasonably ascertained at this time. The pandemic disrupted supply chains and affected production and sales across a range of industries in China as a result of quarantines, facility closures, travel and logistics restrictions and related public health orders. Although our manufacturing capabilities have resumed normal operations, our production was halted for most of the month of February and our logistics functions are still lagging due to certain regions that remained closed through April. Consequently, we anticipate that our sales orders will be significantly reduced for the first four months of 2020 as compared to the same period in 2019. As reported, China's economy declined 6.8% in the first quarter of 2020, following many years of high growth. Although factories across China have restarted, many of its international global markets are still in lockdown and business has not yet returned to normal. It remains to be seen what the economic recovery in China will look like for the rest of 2020 and what stimulus programs the central Government might enact. In terms of the real estate and construction sectors, the deleveraging of China's property developers could continue in 2020 as occurred in 2019 due to limited borrowing and resulting cash flow issues. Also, new home sales declined by an estimated 90% from a year ago during the period of China's lockdown as potential buyers were not able to view properties. However, early sales data indicates that pent-up demand has already resulted in substantial buying activity as consumers are eager to secure properties in China's major cities. In addition, some restrictive measures have been loosened in different cities to support the housing market. As previously noted, China's real estate sector has been resilient over time and has been a key driver of China's economic growth. Notwithstanding the above-referenced macroeconomic challenges, we believe that the long-term fundamentals of the real estate and construction sectors remain intact and these fundamentals will emerge as business conditions normalize. China's urbanization trend continues to underpin its economic growth and the need for housing leads to a sustained demand for our building materials products. We believe that we have a competitive advantage in our sector due to our innovation, brand name recognition and our ability to meet our customers' needs. This business outlook reflects the Company's current and preliminary views, and is based on the information currently available to us, which are subject to change and is subject to risks and uncertainties, as well as risks and uncertainties identified in the Company's public filings. At this point, we would like to open up the call to any questions pertaining to our second half and fiscal year end 2019 financial results. Operator, please.
Operator: [Operator Instructions] We have a question from the line of Howard Flinker.
Howard Flinker: I don't have a question. I just want to wish all of you good health. I don't have anything special to say. Thank you.
Edmund Hen: Thank you. Thank you for your greetings.
Howard Flinker: Yes, I hope your family very healthy. Yes, stay safe, exactly everybody. Thank you very much.
Edmund Hen: Yes, stay safe. Thank you.
Operator: Thank you. [Operator Instructions] And we don't have a question on queue. I would like to hand a call back to David Rudnick. David?
David Rudnick: Thank you. On behalf of the entire China Ceramics management team, I want to thank all of you for your interest and participation in this call. This concludes China Ceramics second half and fiscal year-end 2019 earnings call. Thank you.
Operator: Thanks everyone. You may now disconnect.
Edmund Hen: Thank you. Bye, bye.